Operator: Good afternoon, ladies and gentlemen, and welcome to Beacon Roofing Supply's Second Quarter 2019 Earnings Conference Call. My name is Johnston, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. At that time, I will give you instructions on how to ask a question. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. This call will contain forward-looking statements including statements about its plans and objectives and future economic performance. Forward-looking statements are only predictions and are subject to a number of risks and uncertainties. Therefore actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors including, but not limited to, those set forth in the Risk Factors sections of the Company's latest Form 10-K. These forward-looking statements fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the company, including the Company's financial outlook. The forward-looking statements contained in this call are based on information as of today, May 7, 2019, and except as required by law, the company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures. The reconciliation of these non-GAAP measures is set forth in today's press release. The company has posted a summary financial slide presentation on the Investors' Section of its website under Events and Presentations that will be referenced during management's review of the financial results. On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; Mr. Joe Nowicki, Executive Vice President and Chief Financial Officer; and Mr. Eric Swank, Chief Operating Officer. I would now like to turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, Mr. Isabella.
Paul Isabella: Thank you, and good afternoon. Welcome to our second quarter earnings call. We had some very encouraging results during the quarter, despite the weather challenges we encountered. Sales trended up nicely at the end of March, which help drive results to the most positive end of the range we gave in our February prerelease, which was minus $0.45 of adjusted EPS. Even more encouraging is that we've seen the positive sales trend continue in April, which adds to my optimism that we'll have a solid second half of the year.  Organic same day sales for the quarter ended positive had slightly over 1% with residential organic same day sales strong at approximately 5%. This demonstrates the strength of our sales even during a difficult of your period. Gross margins were in line with seasonal trends, which I can set a real positive considering the harsh seasonal pressure we encountered. We pay down over $75 million of debt through solid working capital management in the quarter. And we were able to pass price along from our manufacturers and this mark the fourth consecutive quarter, which price costs was either positive or neutral. We've launched price increases across all product lines to stay in step with the 2019 manufacture increases and we will as always be watching this very closely over the next few months. Lastly, the final group of Allied branches has been successfully transitioned to the Beacon legacy ERP system. Overall, some really good progress during a tough quarter, which gives us our continued optimism regarding the second half of the year and beyond.  Next I want to give you an update on several of our important strategic initiatives. Starting off with our exciting industry-leading digital offering anchored by our e-commerce catalog, Beacon Pro+ and our integrated estimating tool, Beacon 3D+. We offer the most complete solution for contractors looking to drive productivity in their business. We have a full suite of digital tools that provide customer value add, items such as online ordering in order history, 3D visualizer and estimating tool, automated rebate tracking, online bill pay, delivery tracking, and project management among others are differentiators for our customers.  We're pleased with the progress we're making with the offering. We currently estimate that sales through our digital platform will be approximately $300 million for fiscal 2019, up substantially from the 2018 number. Customers liked the convenience and ease of use and we're confident, we'll see continued customer adoption. Our goal is stated at the Investor Day last year is to reach $1 billion in sales in three years to five years. Great performance to-date as we only launched this program two years ago.  Now I'd like to talk about two digital innovations just launched. The first is our partnership with JobNimbus, our premier CRM project management software platform for the building materials industry. Simply stated, this offering will provide our contractor base the ability to seamlessly create estimates and submit material orders from inside the JobNimbus platform directly into their local Beacon branch via our Pro Plus digital suite. This means we've built a direct connect between the JobNimbus platform and the 90,000 skews in the Pro Plus digital catalog. This integration will help customers save time, managed to work more efficiently and grow their business.  The second tool is delivery tracking. Customers have always demanded accurate on time deliveries. They can now receive notifications when deliveries are scheduled and when the product arrives. And they can receive onsite photos prior to and after the delivery, which obviously helps them working with homeowners. The pilot was in January with a full rollout starting in March and April. We're live in 15 markets and being well received our customers. These are just two of the multiple offerings our digital suite provides. We're very committed to ongoing digital innovation and growing sales through this platform.  Now I'll give you an update in another initiative that we're very excited about RSA's or regional service areas. We talked in detail about this during our December Investor Day. At that time, we had identified approximately 40 markets for planned conversion to a centralized dispatch with single P&Ls. We’ve now added several additional markets moving us to more than 50 in total. The implementation process is going very well and we’re roughly halfway through this rollout. We’re continuing to evaluate other potential markets, as well as derivations of this approach including centralized hubs and facility relocations. Our customers will benefit from greater inventory access and more reliable delivery timelines. This is very important as customers conduct business across why geographies and our ability to quickly and efficiently provide service saves them time and money. We believe this is a very significant and exciting opportunity for our customers, as it’s rolled out to all of our markets. Lastly, the terms of our greenfield branch openings, we’re at five year-to-date with another five to be open by the end of September. The openings to-date have been three exterior and two interior branches. All openings compliment our regional service area approach by providing overall better coverage and service for our customer base. And we’ll continue to balance greenfield openings with our RSA rollout. Joe, I’ll now pass the call over to you to provide some additional details on our quarter and 2019 outlook.
Joe Nowicki: Thanks, Paul, and good afternoon everyone. I’ll now provide a little more color to the positive accomplishments that Paul mentioned. The positive organic growth, lower adjusted existing operating expenses, a nice pay down in debt as a result of our solid free cash flow and price to cost parity. I’ll spend a few minutes now speaking about each of these highlights. First, organic sales for the quarter increased 1.2% on the same days basis. This was driven by a 5% increase in January, a 4% decline in February, and a 3% increase in March. What this tells us is that when the weather was better during the first three weeks of January and the last couple of weeks of March, we experienced healthy demand. This continued into April, where we saw a modest daily sales increase. The organic daily sales growth was led by 5% residential roofing growth. As Paul mentioned, thanks to favorable weather at the end of the quarter, we finished March strong and that helped us to makes up some ground from February. We also believe we’re now passed the 2018 hail headwinds, as the key hail states have begun to see improved performance versus the prior year. By geographic region, we experienced solid same day sales growth and our Northeast and Mid-Atlantic regions as both were up high teens year-over-year. And Canada was also up almost 10%. Our Southeast and Southwest regions were basically flat year-over-year, but our Midwest and West regions were down high single digits as a result of the weather challenges previously discussed. On commercial roofing, we produced positive gross profit dollar growth year-over-year, driven by solid improvements in our GM rate as we continue to focus on driving value to our customers. Overall, pricing was up 5.5 to 6 percentage points, with gains across all three product categories. Now these price increases reflect the inflation that occurred last year. Turning to cost control, adjusted existing market operating expenses were down almost $2 million on a year-over-year basis and declined 10 basis points as a percentage of sales. Our teams responded quickly in the second half of the quarter, when the challenging weather hit to tighten their cost controls on labor and discretionary spending. We saw solid improvement in our OpEx rates as we went through the quarter. We remained vigilant towards tightly managing our cost structure and improving our leverage. The sales growth improved in the second half, we anticipate favorable operating leverage to result. Now shifting over to gross margins for the fourth quarter in a row, we are again successful and offsetting the manufacturers cost increases with selling price increases. This sequential trends in our gross margin this year also align with what we’ve seen in prior years for Q2. Our slight decline in gross margin year-over-year was primarily the result of our onetime freight costs true up coupled with some mixed shifts within our product categories and competitive pricing pressure due to the weather challenges. Before I shift to the 2019 guidance, I want to mention a couple of points related to our balance sheet and cash flow generation. Free cash flow was solid over $80 million, primarily due to good working capital management. We use that free cash flow to pay down over $75 million in debt this quarter. Rising LIBOR rates year-over-year drove an increase in interest expense even with the lower debt balance. It’s another reason we remain focused on paying down our debt and lowering our leverage to three times. Capital spending for the quarter was $14 million, still all in line with our full year guidance of $50 million or 70 basis points of sales, a great improvement from our historical spending levels. Last, I want to comment on our 2019 guidance. Consistent with our late March press release, we’re confident in achieving the lower end of our previously provided adjusted EPS range of $2.90 to $3.35 for fiscal year 2019, so no change from our last update. We believe core demand has remained healthy and we anticipate further activity tied to winter deferrals and incremental damage caused by the wetter and colder weather. We expect these additional sales will help us recover a small portion of the Q2 earnings shortfall is outlined in our guidance. I’ll now turn the call over to the operator to take your questions.
Operator: Thank you, sir. [Operator Instructions] Our first question is going to come from Keith Hughes from SunTrust. Your line is now open.
Keith Hughes: Thank you. So two question, I guess, first on April, you said kind of barely off to the decelerate from some of the growth rate you saw in March and any other color on April would be helpful?
Paul Isabella: Yes. No, it’s actually increased from March, whether you look at even March was an interesting month, tail of two halves, weak first half, strong back half. But even from the standpoint of the strong back half March, April accelerated. The other color I think that's important is last year had some hurricane volume in the April sales number from Harvey that we kind of bumped up against as well as now we have – we're on the backside of bit of Florida from the storms there.  So we're when you look at our own Keith expectations for April, we're very pleased at the progress as we exited March and through the month. And it gives us a lot of confidence as now we jumped into May, June the balance of the year, because as you know, looking at last year comes to get a bit easier.
Keith Hughes: Okay. And then second question on gross margin that you talked about on the true-up on transport costs. I was a little surprised it was higher given that residential did so well, highest-margin product compared to the other segments, is there anything else within there I'm missing?
Joe Nowicki: Yes, sure. If you'll look through the gross margin kind of walk from year-to-year, we did – certainly we did a great job continuing on the synergies and that benefited us. We did have this ocean freight true-ups, small piece to it. We did get a benefit as you mentioned from just within those categories more resi. But we also saw, as I mentioned some product and geographic mix kind of within the category of the product lines as well, too, in addition to its more competitive pricing pressures as well, primarily on the resi side. That combination of factors, which really got us to the 23.4%, slight decline from where we were last year at 23.7%.
Keith Hughes: All right. Thank you.
Joe Nowicki: You bet.
Paul Isabella: Thank you, Keith.
Operator: Thank you. Our next question comes from Ryan Merkel from William Blair. Your line is now open.
Ryan Merkel: Hey, thanks. Hello, everyone. 
Paul Isabella: Hey, Ryan.
Ryan Merkel: So I wanted to ask about sales. Obviously nice with weather and you got some price, but I think the price benefit sort of declines as the year goes on. I guess what I'm getting at is I think you need sort of mid-single digit organic daily growth the rest of the way to sort of hit guidance. Is that something you're still comfortable with based on everything that you see today? 
Paul Isabella: Yes, we are, actually. If you look at the Q3 of last year, I think, we grew in the 2% range and then we were down 5% or 6% in Q4. So just based on the current rate, we feel good on the second half. 
Joe Nowicki: And most of it really is, Ryan due to the comps. So if you look at last year's comps to it, it's lower hurdle for us, which gets as really comfortable at that mid-single digits for the rest of the year. You're correct. That’s expected into our forecast. 
Ryan Merkel: Okay. I just want to make sure. And then you mentioned the onetime freight cost, can you just quantify what that was, how much that impacted things in the quarter and I guess onetime so we're not going to see that repeat?
Joe Nowicki: Now it was just a ocean freight and costs from a prior period that rose in here small number in total. Just a couple of million bucks, but it still was 10, 15 basis points on the overall gross margin piece to it. Not a big number, but enough.
Ryan Merkel: Right, okay. Thanks.
Paul Isabella: Thanks, Ryan.
Operator: Thank you. Our next question comes from Matt Haney from Baird. Your line is now open. If your phone is on mute, please unmute it.
David Manthey: Hello?
Paul Isabella: Very difficult to hear you.
Joe Nowicki: Dave, are you there?
David Manthey: Yes. Can you guys hear me?
Paul Isabella: Now, we can sir.
David Manthey: Okay, all right. Well, This is David Manthey. So question, what level of the storm activities baked into your guidance range now expressed confidence in the low end of the range? Are you assuming an average storm year will get you through the low end or would a kind of normal storm year put you at the midpoint?
Joe Nowicki: Really, what we got baked in is a consistent with the last year kind of storm environment. So, as you know, we had high storm years in 2016 and 2017. 2018 was our low storm year. What we've got included in our guidance really is that same low storm year kind of continuing. So we don't have a big ramp up for storms included in our revenue guidance.
Paul Isabella: David, kind of follow-up what we said in the fourth quarter call last year when we did three different scenarios of the low, high, middle part of that range is based on normal storm, high storm, low storm. And right now over the years unfolding, even though we know we still have opportunity until July, it's pretty much matching last year. That's the estimate.
David Manthey: Yes, okay. And then on the price realization, could you talk about what your price realization was in res, non-res and complementary? 
Joe Nowicki: Yes, we don't break down pricing piece by product category, Dave, we just kind of given in total and in total we ended up, as I mentioned, somewhere between that 5.5% and 6% range across all of them combined. There was a little variation within them to some extent, probably got a little bit less on the residential side, but overall, not too significant across them Dave.
David Manthey: Okay, thank you.
Paul Isabella: Thanks, Dave.
Operator: Thank you. Our next question comes from Trey Morrish from Evercore. Your line is now open.
Trey Morrish: Hi, thank you guys. I guess the first place to start would be there's been an April price increase announcement out in the market. And I'm just wondering what you've seen so far in terms of investors' reactions willingness to accept a higher price out there following your increase announcement?
Paul Isabella: Yes, so you're correct. You broke up a little bit with the connection, but I think what you're asking about what our end user is saying. Right now it's still too early. We are just either have launched or launched, right, just based on the timing of the manufacturer increased, et cetera. And as I said – and I've said in the past we're talking probably 30 to 60 days to get a good feel of what the market is going to do. Not much different than last year. I think we said the same thing internally of course, we've done all the prep for pushing price through system changes, notifications, all of that. So obviously we'll update it on the next earnings call. It's just too early right now.
Trey Morrish: Okay. And then you mentioned curtailing some costs right in the quarter to help rain in and improve your cost basis as volumes were still soft. I'm wondering if you could give us an tangible examples of what you mechanically did to see that improvement relative to what you were expecting on your last update to us?
Paul Isabella: Yes, I think the reality is, we've given the volatility of our Q2 which is not new, this has happened many Q2s over the years. I mean it's a function of how quick based on what you view sales are going to be in the coming two, three, six, eight weeks. What you do really to control your labor during that period, right. And I think especially as we started through February and saw the potential for the month to be – end of January through Feb really, really harsh weather for the polar vortex, the rain in the far west, rain and snow in a lot of places, we drew down naturally.  And then as the sales popped up through the end of March, we were able to gain a bit of leverage even though for the quarter, of course, there is still pain, because that variability. I think Joe mentioned of strong sales beginning in Jan, strong sales at the end of March and then between especially in our Q2 very difficult to predict. So we man it for service, right. But we can't totally just strip down these branches, that's ridiculous, because we wouldn't be taking care of our customers. So it's that balance. That's the reality of a drawdown and then a sales increase as we go through March.
Joe Nowicki: Yes, I'll give you even more tactical details, I think because it's some great tools that we have that we use around our headcount tracking and over time which goes all the way down from the division, the region, the branch level by roles. And we keep track of it on a weekly basis how we're doing on those headcount metrics and we gear it towards what are those weekly sales looking like as well too. So we try to align our headcount directly with the sales on a weekly basis as we're going through a very tangible tactical, but good tools that we use to control the headcount and the labor cost as Paul said which is significant part of our operating expenses.
Trey Morrish: All right. Thank you very much guys.
Operator:
Garik Shmois: Hi, thanks. I'm just wondering if you could speak to how we should think about mix as we look out over the next several quarters if some of the Western markets do see some pent-up demand without having material impact on unmixed and potentially gross margins?
Paul Isabella: Yes, without getting into exact numbers, right, because we don't – we give forecast by quarter. But the good news is – but west is finally starting to see the backside – coming out of the backside all these hail challenges they had last year. We saw a bit of that in April. And some of those hail impacted markets actually slowed down the negative close even to zero or slight gain year-over-year and/or sequentially, right. So what does that mean, that's going to be more residential volume in the back half, which gives us some of that confidence we talk about related to the gross margin growth from Q2 to Q3 and Q4. And this is traditionally what you'll see as well. So, if you look historically at our gross margin changes from second to third and fourth quarter. You'll notice that we always have margin uptick in that third, fourth quarter. And a lot of it is the mix related elements that move to a more residential volume. So it should be a benefit to us. We'll watch it as we go through the next two quarters.
Unidentified Analyst: Okay, thanks. And just want to ask on commercial, given the sales decline, sounds like you had good pricing. Just wondering if you could speak to how much is the weather impacting volume, how much is it you are briskly walking away from business to protect price and what's the outlook for commercial sales moving forward especially as comps get easier?
Joe Nowicki: Yes, the outlook is favorable. Again, we're not going to give you splits by product line, but there's no doubt when you look at our western impacted or weather impacted regions, the upper Midwest, even Texas, mountain, far west commercial was heavily impacted. Some of that weather, some of that just stood upper improvement in gross margin, which is something we do need to do. It's very difficult to complete those two pieces out, but then if you look conversely at east coast regions that had pretty good volume, very strong volume, we saw some double digit increases on the commercial side organically.
Operator: Thank you. Our next question comes from Matt McCall from Seaport Global Securities. Your line is now open.
Matt McCall: Thanks. Good afternoon guys.
Joe Nowicki: Hey, Matt.
Matt McCall: Joe, maybe expand on that pricing question, you already said that the pricing in resi was a little below the 5.5 to 6 points that you recognized and you also said that you had price cost parody overall. Just given the competitive pricing pressure commentary that you gave around the winter months, should I assume from that, that there was a price cost drag in residential specifically, but price cost parody overall?
Joe Nowicki: Yes. Good question. Let me provide clarity on my answer, because you're right the residential price impact was above that roughly 5.5% to 6% price increase. So resi was higher. It was weaker than we had anticipated and weaker than we would expect it to see. That all ties into the weather impact, right, because we've talked about the weather impact in our volumes, so the weather impacted the volumes on the resi side during that weaker period which in essence had an impact on price. So, hope that helps to that part. Part B of your question was, what does that mean in regards to the price cost? Yes, you're right, the price cost does vary by product line and it's certainly was weaker on the resi side than it was on the commercial and the complimentary piece. So good fit point in total, we had priced costs parody.
Matt McCall: So, now that the weather has gotten better, have the trends improved in pricing for residential, price costs for residential, has that improved as we've gotten these better volume periods that you've been referencing?
Joe Nowicki: We wouldn't give any April results or even breakout the March pieces, I mean, you can imagine though, just logically speaking for the steep slope roof, right, folks are not going to get up on a steep slope roof in tough weather, it conversely, when it's great weather that's when they're really moving to get their work done. So less competition, more jobs available, more work available. That's the best way I can answer that.
Matt McCall: Maybe I'm sorry for the fall, but maybe the competitive pricing dynamic has that improved? Have those pressures improved, I feel like that's what you're saying with the volume you had in the competition?
Joe Nowicki: Yes. As demand which we've always said that matters, demand improves that tends to lessen. We see it in some of these eastern markets that grew quite well and in last year we saw the converse because of the pressure of backside of hail. Now that’s the West starting to come out of that, I mean we should see demand improve, hence that should help that situation. Yes. 
Matt McCall: Okay, perfect. Thank you.
Joe Nowicki: Thank you.
Operator: Thank you. Our next question comes from Trey Grooms from Stephens Inc. Your line is now open.
Trey Grooms: Good afternoon. Thank you. So it sounds like, a lot of the gross margin hit that you guys experienced in the quarter was transitory and with the possible neutral price cost or maybe even positive later in the year. Should – Joe, should we be modeling margins kind of in that flat to up range, as we look in the back half. Or would any of these items that hit you in the 2Q linger into the back half at all.
Joe Nowicki: Yes, I think you’re right in your analysis, if you think about our 30 basis point decline in GM year-over-year between the true up in between some of the weather related impacts, the competitive price, as we mentioned, the mix in there. Those should be things which don’t – do not have an impact going forward. So I think you’re right, considering reasonably kind of flat gross margins in the back half of the is pretty good assumption to use there, Trey.
Trey Grooms: Meaning flat year-over-year.
Joe Nowicki: Yes. Yes sir.
Trey Grooms: Okay. And then – thanks for that. And then you guys have seen some improvement on the OP expense. So as we’re kind of looking into the back half of this year and even into next year, I know you kind of touched on some of the synergies and reiterated those targets, things like that. But how should we be thinking of other operating expenses as we look into the foreseeable future, I guess, the next several quarters.
Paul Isabella: Well, as you know, we’re still working through the allied integration. So we’ll see some benefit of some of the synergies continue to grow through as that kind of integration completes. Most of the supply chain work has been completed on the purchasing synergies, right. But you do have more of the OpEx, so those should help us going forward. Then I think it’s just all the same blocking and tackling that we have done in the past in regards to as we watch and manage every line item within our OpEx numbers. Additionally, you’ll also see as we begin to implement more of the RSA approach that should have some benefits to us overall in our operating expense structure also.
Trey Grooms: And thanks for that. And just kind of with that the synergies, can you remind us or maybe update us, what we should be looking for as far as kind of exiting, what run rate we’d be looking for is we’re exiting this fiscal year.
Joe Nowicki: In terms of dollars, what we’ve said and we haven’t really changed it is the total outlook for those roughly $120 million. And we accomplished somewhere around $50 million in the first year, the September period ended. We’ll add another $50 million to it. So we’ll get about $100 million that will be incorporated into this year’s numbers and synergies. And then we’ll pick up the remaining 20 in the last quarter of our kind of two year period with it. And that’s pretty consistent. That hasn’t changed too much. I think, we’re still right on a great path there. We’re achieving most of all the things that we have said. Some a little above, some a little below, but in total right where we want to be.
Trey Grooms: Sounds great. Thanks for taking my questions and good luck.
Operator: Thank you. Our next question comes from Kathryn Thompson from Thompson Research Group. Your line is now open.
Kathryn Thompson: Hi, thank you for taking my questions today. During the quarter, you opened four new greenfield branches and are set to open an additional five the remainder of the year. Just in light of your earlier commentary on to start a generally better competitive landscape within distribution. Maybe help us better understand, how it gives you confidence that adding these new greenfield locations won’t necessarily markup the competitive landscape that will enhance your positioning in the market. Thank you.
Paul Isabella: That’s nice, Kathryn. We opened up five, but just to clarify, we opened up five today and then five more. And I think if you look at the place kind of those some are interior branches, where we just don’t have a presence or they’re much further away from an existing branch. And really to the same extent, the exterior branches are in that same position. So they become distant adjacencies that pickup markets that are much too far for us to deliver from an existing branch. That’s how we’ve looked at it. So we’re not going to – some of that will be seated, but that’s how our greenfields always are. There’ll be some portion of sales, I don’t come from that market already that we’re serving, but we believe by putting in that location that we’ll be able to pick up more sales. So now going forward, as I said in my prepared remarks, with all the work we’re doing on the RSA fees, we’re going to continue as we did with these 10, the exterior and the interior pieces, we’ll continue to evaluate every RSA to make sure that we’re not adding fixed costs, where we don’t need to especially as we move to more hubs, more centralized shipments and dispatching in markets. But we still have a lot of open geography, where we can play some branches. We’ll just continue to evaluate that as we go through time.
Kathryn Thompson: Perfect. Thank you for that. You may have mentioned this already, but just as a follow-up, any thoughts on your – or any changes in terms of your leverage by the end of either fiscal 2019 or calendar 2019.
Joe Nowicki: No real changes to it. We’ve talked about before really the big goals is getting it under –getting to the three times leverage, right. I mean, that’s been our clear kind of strategy to drive towards it and we’re going to keep doing like we did this quarter, a $75 million kind of pay down the debt piece. We’re going to continue to work down the debt piece to drive EBITDA and improve that leverage rate through. So no change in our goals and forecast, they will pushing towards that. I’m driving towards the pay down of the debt piece to get the leverage down more you bet.
Kathryn Thompson: And no change in our free cash – no change of free cash expectation flow through.
Joe Nowicki: No change in the free cash either, I think similar to the numbers that we gave on our guidance in regards to the EPS, we’d be at the lower end of the free cash flow range, just like the lower end of the EPS range. So but no change to the range.
Kathryn Thompson: Okay, great. Thank you very much.
Joe Nowicki: Thanks, Kathryn.
Operator: Thank you. Our next question comes from Michael Rehaut of J.P. Morgan Chase. Your line is now open.
Elad Hillman: Hi, this is Elad on from Mike. I wanted to dig a little deeper into the comments you made about this all free cash flow being helped by good working capital management. If you could just expand on what that was and then more specifically if you have any commentary around inventory levels and given some of the pickup in the overall market. Thanks.
Joe Nowicki: Sure. You bet. Really, if you look at our balance sheet or need that you’ll see part of and what I referred to as good working capital management really is managing our inventory piece, the receivables where we had good strong collections and then also balancing it with our payables in the flow of our payables as well too. We had some of the inventory purchases, so you notice the inventory value is up a bit. We have some of those inventory purchases towards the end of the quarter, the payables were to outstanding there. So what you notice was inventory might have been a little bit higher. But it was included in the accounts payables and accruals. Overall a good balance on the working capital, a part of getting the cash collections and a lot of the receivables, which helped us. So get in the collection of the receivables and working through the inventory piece of it, but more important has been also managing the AP balances to it. So good overall cash flow management on working capital those three elements.
Elad Hillman: Thanks.
Operator: Thank you. And our next question comes from Scott Schrier from Citi. Your line is now open.
Tim Mazurczak: Hi. It’s actually Tim Mazurczak on for Scott. I apologize if you already went through this before, most of my – my questions have already been answered. But in terms of the network rationalization, how much is left? I mean can you kind of give us the benchmark of where we are and if any of your expectations have changed?
Paul Isabella: Yes, I mean, we talked about the pick and the markets that we’re attacking on this. So centralized dispatch, one P&l for 40 to 50. And if you look at the number of districts we call them, we have, it’s close to a 100. So I think as we go through time, we’ll continue with to have some are smaller. Uh, we’ll continue to evaluate those right as we go through time. So it’ll end up being over 50. I just can’t give you a number right now.
Tim Mazurczak: Okay. All right. Thank you.
Operator: Thank you. Our next question comes from Phil Ng, Jefferies. Your line is now open.
Phil Ng: Hey, guys. Can you provide a little more color on competitive activity across your different segments? Is your view essentially that in the quarter you saw a little more competition due to the seasonal – slower seasonal quarter and bad weather? And have you seen those headwinds dissipate since? And commercial seemed a bit weaker than we would have expected? Was it just simply weather-related or was there some business you guys walked away from?
Paul Isabella: Yes, on the commercial piece, I think I’d mentioned it prior, there’s no doubt in the regions that we were down because of weather, commercial was also down. So there’s a piece of that. And I wouldn’t necessarily say walk I mean it’s just a function of us pushing harder to raise gross margin in that product line. So we feel – we like the commercial business and the product line as I’ve said in the past. We’re going to continue to work extremely hard to grow it. But I think this was a quarter where we did actually some very good things with driving margin up but at the same time we had some double-digit downs and regions that are really hit hard with weather. On the competitive side it’s virtually impossible for me to talk about other than the generic as I said earlier when demand is down there’s more competition. But we’ve had competition since I walked in here almost 12 years ago, and prior, and that’s not going to change. That’s why we’ll focus so hard on providing our value add to the contractor base, right? So we’re the logical choice for them to come to.
Phil Ng: Got it. And just a bigger picture question and just given some of the branch consolidation headcount reduction, do you think there’s been any drop-off in service level? Have you seen any dis-synergies on the revenue front? I did notice you guys were talking about how you want to plant down your cost front on the OpEx side which should help profitability but just want to make sure on the service side of things how that kind of plays out? Thanks a lot.
Paul Isabella: No. Absolutely, no. And when you talk about any change in manpower it’s – this is not new. We have – we’re a seasonal business. So as conditions change, we have to adjust the workforce. We do it through a number of ways, right? So – and our folks understand that, they’ve been through this for a number of years. So no our service is – that’s the first priority we have is taking care of our contractor base. So we’re in a good shape there.
Operator: Thank you. Our next question comes from Jay McCanless from Wedbush. Your line is now open.
Jay McCanless: Hi, good afternoon. The first question I had, the labor savings that you achieved during 2Q, are you going to lose all that and maybe then some as you have to ramp up over time in 3Q to make up for some of the business that couldn’t get to you because of weather? Just trying to get a sense of how SG&A plays out through the back half of the year?
Paul Isabella: Yes, without getting into too much specifics, obviously we [indiscernible] based on our volume and we’ll continue to do that as efficiently as we can. So that’s the best way to put it. So there’s not much more detail I can get. And then obviously for us in the second half we always get much better OpEx leverage as sales increase, right? And if you look at last year’s number, I think they were close to 16%, 16.5% on an adjusted basis, 17% or so of sales. So there’s a natural drawdown anyways of OpEx against sales. That’s about the best way I can answer that without getting too specific. And again for us it’s not anything new. We have to flex up and down for sales with the first priority being service to our customers.
Jay McCanless: Okay. That’s all I had. Thank you.
Paul Isabella: Thank you.
Operator: Thank you. That concludes the questions. Now I would like to turn the call back over to Mr. Isabella for closing remarks.
Paul Isabella: Sure. Thanks. I’ll close by saying as I have in the past, we’re in a great industry one that’s very resilient, one that’s highly attractive with steady repair, remodel content, historically in the range of 70% to 75%. We continue to execute the elements of our strategic plan very well and we made excellent progress on the Allied integration or operating as one company. We believe we’re the innovation leader in our industry and our digital suite really offers many value adds to our customer base. Our future is very bright. I’ve said this many times before and we’ll stay focused on delivering results for our investors. Thank you for participating in this afternoon’s call. We appreciate the continued support from the investment community as well as our highly valued relationships with customers, suppliers and employees. Have a great evening. And we look forward to speaking to you again in three months.
Operator: Thank you ladies and gentlemen. This now concludes the call. Everyone may go ahead and disconnect.